Operator: Ladies and gentlemen, thank you for standing by, and welcome to The Andersons' Third Quarter 2020 Earnings Conference Call. At this time, all participants are in listen-only mode. After the speakers' presentation there will be a question and answer session. [Operator Instructions] As a reminder, today's program maybe recorded. I would now like to introduce your host for today's program, John Kraus, Director of Investor Relations. Please go ahead, sir.
John Kraus: Thanks, Jonathan and good morning everyone, and thank you for joining us for The Andersons' third quarter 2020 earnings call. We have provided a slide presentation that will enhance today's discussion. If you're viewing this presentation via our webcast, the slides and commentary will be in sync. This webcast is being recorded, and the recording and the supporting slides will be made available on the Investors page of our website at andersonsinc.com, shortly. Certain information discussed today constitutes forward-looking statements, and actual results could differ materially from those presented in the forward-looking statements as a result of many factors, including general economic conditions, weather, competitive conditions, conditions in the company's industries, both in the United States and internationally, the COVID-19 pandemic and additional factors that are described in the company's publicly filed documents, including its 34 Act filings and the prospectuses prepared in connection with the company's offerings. Today's call includes financial information, which the company's independent auditors have not completely reviewed. Although the company believes that the assumptions upon which the financial information and its forward-looking statements are based are reasonable, it can give no assurance that these assumptions will prove to be accurate. This presentation and today's prepared remarks contain non-GAAP financial measures. The company believes that adjusted pre-tax income, adjusted pre-tax income attributable to the company, adjusted net income attributable to the company, adjusted diluted EPS, EBITDA, adjusted EBITDA attributable to the company and adjusted effective tax rate provide additional information to investors and others about its operations, allowing an evaluation of underlying operating performance and better period-to-period comparability. These measures do not and should not be considered as alternatives to net income or income before income taxes as determined by generally accepted accounting principles. On the call with me today are Pat Bowe, President and Chief Executive Officer; and Brian Valentine, Executive Vice President and Chief Financial Officer. After our prepared remarks, Pat, Brian and I will be happy to take your questions. Before Pat makes his opening comments, I want to remind you that we'll present an Investor Day in a virtual format on the Tuesday, December 8, 2020 beginning at 9 AM Eastern Time. I want to also let you know that we have just completed a sustainability review that document maybe found in the Investor section of our website. With that, Pat, the floor is yours.
Pat Bowe: Thank you, John, and good morning, everyone. Thank you for joining our call this morning to review our third quarter results. Three of our four business segments recorded improved year-over-year results. The trade business led the way by earning a much improved third quarter pre-tax profit year-over-year. Merchandising results and grain elevations were strong. Income earned by the Group's assets was positive despite the final lingering effects of the small 2019 harvest in the East. We've seen much improved grain production in the East this harvest. The Ethanol business recorded pretax income of a slightly better than the third quarter of 2019. Where margins were stronger year-over-year, the corn features price rally led to a large non-cash mark-to-market charge on our corn and DDGS that we did not face in 2019. The Plant Nutrient business achieved its sixth consecutive quarterly year-over-year improvement in the third quarter. Margins were up slightly on similar volumes and the business continues to manage expenses and working capital effectively. Rail reported nearly breakeven results as continued lower rail traffic negatively impacted lease rates. Cars and service, pre-utilization and demand for rail services were all lower. Our recent strategic combination of those four business segments into two groups is trading the commercial and cost synergies we anticipated. We also completed the related strategic cost takeout which should result in run rate savings of approximately $10 million beginning early next year. We expect that these actions along with the moves made earlier in the year should result in more than $25 million in permanent cost reductions when comparing 2019 and 2021 results. We're continuing our evolution towards becoming a much linear company that proves to grow. I'm now going to turn things over to Brian and when he's finished, I'll be back to discuss our outlook for the rest of 2020 and into 2021. Brian?
Brian Valentine: Thanks Pat and good morning everyone. We're now turning to our third quarter results on slide number five. In the third quarter of 2020, the company reported a net loss attributable to the Anderson's of $1.1 million or $0.03 per diluted share and an adjusted net loss of $2.4 million or $0.07 per diluted share and revenues of $1.9 billion. In the third quarter of 2019, we reported a net loss attributable to the company of $4.2 million or $0.15 per diluted share and an adjusted net loss of $2.3 million or $0.07 per diluted share and revenue s of $2 billion. The benefits of our cost reduction initiatives continue to be evident in the third quarter as operating, general and administrative expenses declined $8.9 million or 8% year-over-year. Adjusted pretax income attributable to the company increased $7.3 million year-over-year with the trade group accounting for almost 90% of the improvement. These operating results were offset by lower income tax benefits as we recorded an adjusted benefit of $200,000 in the third quarter of 2020 compared to a benefit of $7.2 million in the third quarter of 2019. Adjusted EBITDA attributable to the company was $46.2 million in the third quarter of 2020 compared to $38.2 million in the third quarter of 2019, an increase of 21%. Adjusted EBITDA for the quarter was higher for the trade, ethanol and plant nutrient segments. Our effective tax rate continues to change considerably each quarter based on the amount of income or loss attributable to the non-controlling interest. As in the first two quarters of the year, the adjusted rate also removes the benefits we expect to receive from the CARES Act. These benefits had an impact of $0.14 per share for the quarter and have had a $0.45 per share impact year-to-date. We generated strong cash flow from operations and continue to focus on working capital management. We have also taken a disciplined approach to capital spending, which we expect to be about $100 million for the full year. Long-term debt decreased approximately $100 million compared to the beginning of the year, long-term debt reduction remains a priority. In late-October, we refinanced the portion of the debt supporting the rail business. This decision will reduce borrowing costs going forward. However, it will result in the recognition of approximately $2.5 million of non-cash interest charges to the Rail business in the fourth quarter relating to interest rate swaps and debt issuance fees on the prior debt agreement. The refinancing accelerated the recognition of these expenses, which would have otherwise been amortized into interest expense through the third quarter of 2021. Now we'll move on to a review of each of our four business segments beginning with trade on Slide 6.Trade reported pretax income of $5.9 million and adjusted pretax income of $6.9 million, compared to a pretax loss of $2.1 million and adjusted pretax income of $400,000 in the same period of 2019.The difference between reported and adjusted results in both periods was stock compensation expense relating to the Lansing Trade Group acquisition. Income from merchandising grains, feed products and all other commodities was strong compared to the third quarter 2019 results, due to increased market volatility. Income from the segment asset portfolio was positive due to improved results from our Ohio and Louisiana assets. Synergy capture and other cost cutting efforts continued to provide benefits. Trade's adjusted EBITDA for the quarter was $22.3 million compared to adjusted EBITDA of $20.7 million in the third quarter of 2019. Moving to Slide number seven, Ethanol's third quarter pretax income attributable to the company of $1.1 million was up slightly from the third quarter of 2019 result. Margins were much improved, despite increasing corn costs as industry supply and demand remained relatively balanced. Third-party ethanol trading results were also higher year-over-year. Offsetting those improvements was a $6.2 million non-cash mark-to-market adjustment as Pat mentioned earlier. Ethanol recorded EBITDA attributable to the company of $11.1 million in the third quarter of 2020, up from $3.9 million in the third quarter of last year. I also want to remind everyone that year-over-year comparisons are difficult as 2020 includes the consolidated results of all five ethanol plants, whereas 2019 results included equity earnings for three of those plans. Results will be more comparable beginning next quarter. Turning to Slide 8, the Plant Nutrient business recorded a pretax loss of $5.4 million in the third quarter, which was a $2 million improvement from the third quarter 2019 loss of $7.4 million. The third quarter marked the segment's sixth consecutive year-over-year quarterly improvement. Margins per ton were slightly higher on similar volumes. Operating and interest expenses continued to move lower year-over-year, due to cost reduction initiatives and effective working capital management. Plant Nutrient's EBITDA for the quarter was $2.2 million, an increase of $1.3 million from the third quarter of 2019. Turning to Slide number 9, the Rail business was essentially breakeven in the third quarter compared with pretax earnings of $3.1 million last year. The year-over-year change was primarily driven by lower results from its lease fleet, as lease rates, cars on lease and utilization each declined year-over-year. Rail generated $12.5 million in EBITDA for the quarter compared with EBITDA of $16.1 million for the third quarter of 2019. I'd now like to turn things back to Pat for some thoughts about the remainder of this year and some early views about 2021.
Pat Bowe: Thanks, Brian. We're very pleased to see the 2020 corn and soybean harvest very much improved from the short crop in the eastern corn belt that hurt us last year. This puts us in a strong position for a year with robust grain demand. Nationwide, this year's crop is smaller and drier than we anticipated just three months ago. Export demand has been very robust, especially from China, which we expect to run well into the first quarter. These conditions have led to a significant increase in basis, strong elevation margins, and considerable volatility, which creates good merchandising opportunities for The Andersons. Nearby grain futures prices have rallied, creating an inverse in corn and soybean and wheat markets, if those conditions persist, will impact the opportunity to earn storage income through the first part of 2021. As a result of those conditions, our current outlook for the trading business in the next four quarters is strong overall. With solid merchandising opportunities, we have a softer outlook on income from carrying grain than we thought it'd be 90 days ago. We expect the results in 2021 to exceed 2020 in the trade group. Spot ethanol crush margins continue to be very positive, but similar to grain markets are inverted. We completed all planned fall maintenance outages, unscheduled at the four plants owned by The Andersons Marathon Ethanol, and they're all running well. We continue to line out some of the new technologies we're using in the ELEMENT plant and are excited about a new high protein feed product that we're already producing was there at our Denison Iowa facility. While spot margins are strong, how we finish 2020 and begin 2021 will depend on the balance between gasoline demand and the ethanol industry supply. We expect our Plant Nutrient business to finish the year well. We appear to be having a good fall application season. And we expect improvement in 2021 assuming continued higher commodity prices, and another strong planting season. And while railcar demand has been soft and as we look into 2021 without any significant shutdowns, we think the bottom of the trough and railcar demand and lease prices may be behind us. However, we continue to see a challenging demand picture for railcars and rail repair services, through much of '21 and the results should remain flat going into next year. So in summary, we've made good progress on reducing long-term debt put in place a more effective cost structure and we're seeing the benefits of the Lansing acquisition and a stronger trading platform. U.S. ag fundamentals have dramatically improved which bodes well for the U.S. farmer and for The Andersons. I'm very encouraged by the resilience of our workforce this past year. We feel we have a leaner and stronger company going into 2021 and are excited about our future prospects. With that, I'd like to hand the call back to Jonathan and we'll be happy to entertain your questions.
Operator: Certainly. [Operator Instructions] Our first question comes from the line of Ken Zaslow from Bank of Montreal. Your question please?
Ken Zaslow: Hi. Good morning, everyone.
Pat Bowe: Good morning, Ken.
Ken Zaslow: Just I want to touch base on the bigger picture first. You guys have a $300 million EBITDA target. Can you talk about that in where that kind of stands for 2021? And how everything plays out in that?
Pat Bowe: Sure. And thanks for asking that question, Ken. We're currently working on our long-term strategy and our budgets for '21. And we'll be sharing in more detail at our Investor Day about that outlook in December. We've had in place that long-term goal of $300 million EBITDA for '21 and we're encouraged by the improvement we've seen in ag markets, especially here, the last 90 days going into next year.
Ken Zaslow: Okay. And then on top of that, when you think about the crop being restored in the Eastern corn belt, how do you frame, how that would actually impact The Andersons? It seems like, you're talking about crops could be 20%, 25% bigger than a year ago levels. Demand seems strong. Can you talk about what that actually translates to? And is that something that you would expect to see in 2021?
Pat Bowe: Sure, Ken. And it's helped me a year ago having a really wet planning season we turn our PN business and then going to the grain harvest, that was really low volumes in the East. A lot of those crops tributary to our Eastern assets, it was tough, that '19 harvest. Coming into the current harvest here, we're just wrapping up maybe 20% of corn still to finish, we had a beautiful, sunny 70 degree outlook here for the next five days. So harvest will finish really strong. In the East production has been restored, we've been taken in really good volumes of grain in all of our facilities. Again, a strong basis, strong export markets, strong elevations. So it's been a much improved outlook. And so we're on a level playing field. In fact, maybe Eastern crops, in some cases have been better than some of the Western crops at an improvement year to year. So we're in a much better position than we were last year at the harvest time.
Ken Zaslow: And my last question on cost savings. I think you mentioned that $25 million from '19 to '21. What would it be just incremental from '20 to '21? And I'm assuming there's still that does contribute to a $300 million of EBITDA.
Brian Valentine: Yes, Ken, this is Brian, I think that's fair, I put it into kind of three buckets. At the beginning of the year, we talked about an incremental coming from a combination of synergies and productivity improvements. And then when we were talking COVID, and some of the actions we're taking on cost containment, we talked about another 20ish at the call it in May timeframe, and we said about half of that was sustainable. And then probably another 10 for some of the actions that we took with the reorg and some of the G&A side, that gave us kind of a 40 number in total, about 30 of which we thought was sustainable, and there was some offsets for class to achieve. So as we enter next year, probably think about an incremental five to 10 is probably how I'd frame it, out of 20.
Ken Zaslow: Thank you guys.
Operator: Thank you. Our next question comes from the line at Ben Bienvenu from Stephens. Your question please?
Ben Bienvenu: Thanks, good morning.
Pat Bowe: Good morning, Ben.
Ben Bienvenu: I want to ask with respect to the commentary around the carry. We can see what's going on in across corn, soybeans, wheat carries. Historically, I know you when you've had outside carry opportunities and wheat that has given you an opportunity to capture outside storage income. When you think across those three primary grain categories and oilseeds, I guess historically has been most important. How would you rank order if there is a rank order today, which matters most to you in terms of having a carry in the market?
Brian Valentine: Yes, I'm glad you brought up the comment of carry. And the reason we pointed out was just really because of the big change in 90 days. So I mean 90 days ago, the markets have had a remarkable rally. So we're up $1 in corn to $4 and $1 in wheat to $6 and $2 it means that $10.50 $10.75. So we've had a really big bull run here, often aggressive China export program, which is fantastic. And we're starting to hear some early signs of dryness in Argentina and Brazil at planting. So, if that were to continue or to persist, this bull-run could continue to move up. So, farmers are in a much stronger position, have received some government payments and now getting the benefit of higher commodity prices. So that's kind of a macro backdrop. With that bull move, all corn, bean and wheat markets inverted. So carries went out of those markets. And that's true for everybody, because it's not an Anderson's thing. That's where everybody in the green business farmer, elevator, processor, exporter. So the reason we probably that pointed that out was just this is the current condition of the market. Those can change, spreads move quite dramatically sometimes, it's just unusual to have a crop harvest with a big crop and have such a bull rally in inverted markets and high premiums in harvest time. So this is, 2020 is an unusual year for a lot of things in this country. And ag is no different. So now it's particularly to us, as you mentioned Ben, we tend to historically have made steady wheat carries on soft where we storing it mostly in the Toledo area. This year that wheat crop was good quality but not big in size. We're optimistic about plantings with good fall conditions and good high prices for wheat. We'll see a bigger crop next year in wheat so that's encouraging when it comes to wheat. But corn overall is, we say corn is king corn total volume of corn is the biggest impact to everyone in ag. So when you have big carries in corn that generates probably the most income when it comes to total dollars, and probably has probably a little more volatility to with the corn spread. So, answer to your question is it seem carries return in corn will be good for storage income across the ag sector. And right now, farmer has been selling beans at high prices and sitting on corn, it's not good to sit on corn when you don't have much of a carry in it, right. So it's going to be an interesting market as we go into the first quarter and second quarter of next year and see how spreads play out.
Ben Bienvenu: Okay great, really helpful color. Thank you for the detail. Switching to the ethanol business, industry SMB has much improved. You guys have always run best in class asset. So I'm curious, in addition to kind of SMB on the traditional ethanol product, corn ethanol product improving a number of producers without a shot in the arm on the FP grade alcohol. I don't know, just still don't know to what extent you guys participate in that market today, if at all? And if not, is there an avenue by which you think there's enough sustainable demand to enter that market with the assets that you have?
Pat Bowe: Yeah, I think you pointed out some good comments, Ben. The ethanol margins when it comes to crush with the corn market rally, and soybean and soybean meal rally, DDGS have really improved as well. Also, corn oil outlook, especially in the long-term is attractive with renewable biodiesel demand for corn oil. So, the co-products in long-term in ethanol look pretty, pretty friendly. We're also seeing our ability to make high protein, new feed streams that'll create much higher margins and values on our feed products. We are now selling those out of our Iowa plant and our Kansas plant. So those are encouraging across the co-product side. We've looked at the USP grain market and to invest the capital necessary to build a true portable alcohol plant and didn't feel the returns or having the contracts in place with users, were there for us. I think some people have that capability today are enjoying that margin. But we didn't see that as a good place to deploy capital today for our company.
Ben Bienvenu: Perfect, thanks for the color and best of luck.
Pat Bowe: Thank you.
Operator: Thank you. Our next question comes from the line of Eric Larson from Seaport Global. Your question please?
Eric Larson: Yeah. Good morning. Thanks for the question, guys. I want to just focus a few minutes on rail. I mean, that was a breakeven quarter. I think that was probably one of your poor performances in that rail division in some time. So Brian, you mentioned that there's going to be a one-time interest charge adjustment in Q4, but you earned on an adjusted basis $4.5 million in pretax profits in the fourth quarter a year ago. Can you talk about what the impact is on fourth quarter given the current environment? And then I think that you said that, flattish for 2021 I may have misheard that. So, can you help us with the rail side of it?
Brian Valentine: Yeah, I think as we think about 2021, I think you're right, thinking about it on a flattish kind of an EBITDA basis makes sense. I think, if we think about our rail business on the whole for the kind of the full year of this year, I would think of it in the context of a few million dollars positive but before that non-cash charge. John, anything, you look like you want to add something, John.
John Kraus: Yeah. I think you said the flattish on an EBITDA basis. I think we wanted to say EBT basis.
Pat Bowe: And Eric, I think on a macro level, as you know that so, loadings, utilization, even shop volumes have really been weak. So the rail economy has continued to struggle all year, and we're no different than anyone else. We have seen some pickups in some types of cars. Grain cars, for example, are starting to look a little better. Intermodal has been good in the industry, but sure a lot of segments are really pretty tough and a lot of cars parked. So, question is what's the economy going to look like? Could there be other COVID shutdowns next year that impact, what drives the rail traffic? We'll have to see how that plays out. We think this might be the bottom but to get excited about a real robust turnaround in rail demand, we don't see that in the cards for next year.
Eric Larson: Okay.
Pat Bowe: So of our four business groups, that's the one that's flat, the other three are all going to be improved in '21.
Eric Larson: Okay, so when you kind of look at it just the very near-term right now, you said in the Eastern Corn Belt you've got about 20% of the harvest left in corn. We are having fantastic weather right now. It's just unusual. Of course, it was pretty poor October though, too, but with what could come to the market, in a pretty rapid fashion for let's say, the remaining 20% of harvest? Can that give you maybe an opportunity on a more favorable basis, on a near-term as some of that supply comes in pretty quickly?
Pat Bowe: Yeah, I think they're laying it out pretty well, Eric. I mean, we've been buying beans aggressively all through harvest, farmers liking the high level of flat price and beans over $10. So, and we've been putting through those beans just as effect, with robust demand for exports. So, it's been a really good season for being elevations. Corn, the farmers have been holding a little bit, that's been early harvested. So, we'll see at the end of harvest, if they're going to be moving more corn, we expect to see more corn movement here in the next few weeks. So overall, we've been pleased with harvest progress and quality of harvest as well as quantity in our facilities. We are feeling very good about harvest in general. So, it's been a good season for everybody so far, so really pleased.
Eric Larson: Okay, so just my final question, Pat, and this is more of a kind of a general observation, but it's a question that I get all the time. And I think in the investment community, it lingers as it's kind of one of the overall maybe overhanging debates. So, we talked about the sustainability of this particular ag recovery. As you know we've had several sort of false starts over the past. Now, several years, right. But but this time around does seem a lot different. And I'm just curious how you are looking at that sustainability, what could be the driving factors that that have changed that across the sector? And you participate in most of those sectors. So, can you just, on the other side, we've seen some pretty disappointing fertilizer. Well, we've seen disappointing fertilizer results those are all looking backward not forward obviously. And I think that the sentiment here is trying to find an answer to what the outlook might be sustainability of this particular ag recovery?
Pat Bowe: Yeah, I think the best part about an ag recovery is being demand layout, right. So, China coming in for just record uptake this year is super encouraging to everyone. So, true to the exports at the Gulf and PNW, the Texas calls, even stuff we're doing out of Lakes. I mean, the whole export program impacts everybody. So, that's a really good sign when it's the demand poll. If you couple that with some domestic demand lift which probably would come from ethanol, so ethanol, let's call it 90% right now, if driving starts to pick up as we get the New Year and we get past a COVID situation where demand for gasoline improves, we'll see a pickup in ethanol. Already, protein demand is solid. So demand side of ag is good. Farmer's balance sheets are better now getting some government payments, as well as having higher commodity prices. So, people are in a much better position. Just looking forward to the conditions of South America, if we had some dryness in South America, we're really going to have kind of a bullish environment for commodity prices. And that's a little bit why I was surprised candidly this morning, to see that reaction in our stock price because we had a beat on the quarter and solid earnings for the quarter and our outlook is good as part of a stronger ag market. I think maybe our comments about carry might have concerned people and that applies to everybody. So, we just kind of pointed it out, what changed in the last 90-days and markets inverting in the last 90-days has been a big factor in ag so the reason we brought that up. But, answer to your long-term question is an ag recovery being driven by Asian demand and specifically China can be sustainable and that's encouraging.
Eric Larson: Okay, then you mentioned, it looks like, we're going to have, new sources of demand for oil, you mentioned in your corn oil comments. We have pretty significant capacity increases coming in renewable diesel and that could be more than a one-year benefit to the ag industry is, is that would that be part of your sustainable recovery comments as well?
Pat Bowe: Yes. Yeah, remember Denison's is another lift to the vegetable complex here in the U.S. It's a good thing for our corn oil production business, but also, we trade those feedstocks. So it's an opportunity that I think is going to be good for the ag sector in general.
Eric Larson: All right, thank you.
Operator: Thank you. Our next question comes in the line of Ben Klieve from National Securities. Your question, please?
Ben Klieve: All right, thanks for taking my questions. I really just have one question here within the ethanol segment and the ELEMENT plan specifically. Can you just kind of give us an update here really where this facility stands in terms of ramping towards full production both either from utilization rate, from an integration of new technology perspective and kind of upcoming milestones relating to getting final approval for tax credits? Where really do we stand in the ramp of that facility overall?
Pat Bowe: Great question, Ben so, we hope pre-COVID that we were going to be a much better position than we were now. Given the impact of the ethanol plant shut downs that happen earlier this year, right, when we're in the middle of kind of a ramp up and startup of the ELEMENT facility kind of delayed our prospects for that plant, to put us behind the trajectory we wanted to be on. So, plant has been running at full capacity and producing ethanol. We don't have our California CARB approval yet, because we're waiting to have our gasifier, this is our front end wood burning system. We certified, we had a big maintenance shutdown we're doing here this fall, and then when we bring the plant back up, we'll be working on getting that California CARB approval. You have to have a 90-day run to get that proper certification of your carbon score. We feel really good about that carbon score. We've been producing our high pro DDGs, and having really good market acceptance of our feed products. So really, we're just behind schedule, and I think we're talking about Brian, when do we put in the calendar?
Brian Valentine: I think, Ben, I would think of that as kind of a second half '21 type impact starting to have impact of the California approval.
Ben Klieve: Got it. And so, can I ask a clarifying question on this. So that kind of the timeline here that the 90-day track record is - has that 90-day process started yet? Or is that still waiting as you bring that facility back after the maintenance?
Pat Bowe: Thanks for clarifying. No, we haven't done that. We're bringing up the new orders back online, and then we'll plan to make the 90-day run submitted everybody going to approval. And we're talking about like Brian said midyear or summer of '21 for having full approval and shipments to California gain the California. Now the plant is running full, we're just not getting that additional California premium at this time.
Ben Klieve: Roger that. Okay. Very good. Well, thanks for the clarification and I appreciate that. I'll get back in queue now.
Pat Bowe: Okay.
Operator: Thank you. [Operator Instructions]. And this does conclude the question-and-answer session of today's program. I'd like to hand the program back to John Kraus for any further remarks.
John Kraus: Thank you, Jonathan. We want to thank you all for joining us this morning. And I also want to mention again that this presentation and slides with additional supporting information are available on the investor's page of our website at andersonsinc.com. Our next earnings conference call is scheduled for Wednesday, February 17, 2021 at 11 AM Eastern Time, when we will review our fourth quarter 2020 results. We hope you can join us again at that time. Until then be well.
Operator: Thank you, ladies and gentlemen for your participation in today's conference. This does conclude [Call ended abruptly].